Operator: Welcome to Alico’s first quarter 2023 earnings conference call. At this time, all participants are in a listen-only mode. As a reminder, today’s conference is being recorded.  Earlier today, the company issued a press release announcing its results for the first quarter ended December 31, 2022. If you have not had a chance to review the release, it is available on the Investor Relations portion of the company’s website at alicoinc.com. This call is being webcast and a replay will be available on Alico’s website as well. Before we begin, we would like to remind everyone that the prepared remarks today contain forward-looking statements. Such statements are subject to risks, uncertainties and other factors that may cause actual results to differ materially from those expressed or implied in these statements. Important factors that could cause or contribute to such differences include risks detailed in the company’s quarter reports on Form 10-Q, annual reports on Form 10-K, current reports on Form 8-K, and any amendments thereto filed with the SEC and those mentioned in the earnings release. The company undertakes no obligation to subsequently update or revise the forward-looking statements made on today’s call except as required by law. During the call, the company will also discuss non-GAAP financial measures, including EBITDA and adjusted EBITDA. For more details on these measures, please refer to the company’s press release issued earlier today. With that, I would like to turn the call over to the company’s President and CEO, Mr. John Kiernan.
John Kiernan: Thank you Rob, and thank you everyone for joining us for Alico’s first quarter 2023 earnings call this morning. As we start fiscal year 2023, Alico continues to maintain a strong balance sheet which will enable the company to navigate through the lingering impacts of Hurricane Ian on our 2023 harvest season. As a reminder, at the end of September 2022, Hurricane Ian struck southwestern Florida with 150 mile per hour winds. The slow-moving storm moved across the state and caused substantial fruit drop at the majority of our groves. For fiscal year 2023, we will see lower levels of revenue because we have less fruit available to sell. Based upon our prior experiences with storms of this nature, we anticipate it may take up to two full seasons or more for our groves to recover to pre-hurricane production levels. The early and midseason harvest ended earlier with lower production volume than in the prior year due to the increased rate of fruit drop as a result of Hurricane Ian. We will start the Valencia harvest in mid-February. We maintain crop insurance and are working closely with our insurers and adjusters to determine the amount of insurance recovery we may be entitled to, if any, which is measured at the completion of each harvest.  Although a small number of our groves were exposed to freezing temperatures in late December 2022 and early January 2023, based upon the limited duration of those freezing temperatures, our freeze protection protocols and our highly dedicated staff, our groves were able to avoid any meaningful impact from those freezing temperatures. We continue to pursue strategic sales opportunities for our ranch land and the company has completed several sales of ranch land during the first fiscal quarter ended December 31, 2022, and has closed the sale of another 200 acres of ranch land in January 2023. We continue to engage with interested third parties on certain parcels of the ranch and at prices we continue to believe are competitive. We still have 19,000 acres of ranch land remaining and we believe, based on the recent activity, that these remaining acres will realize attractive prices as well. For the first quarter ended December 31, 2022, the company reported net loss attributable to Alico common stockholders of approximately $3.2 million as compared to net income attributable to Alico common stockholders of approximately $10.1 million for the first quarter ended December 31, 2021. The first quarter 2023 results were negatively impacted by the decreased revenue due to the increased fruit drop from the impacts of Hurricane Ian on our early and midseason crop, and the higher cost of sales resulting from increased inventory costs and a higher percentage of production realized in first quarter 2022 versus the same period in the prior year. During the first quarter ended December 31, 2022, the company negotiated an extension of its $70 million working capital line of credit with Rabo Agrofinancing until November 1, 2025. As a reminder, based upon the actions taken over the past several years, most of our term debt is non-amortizing and matures in November 2029. In addition, our $25 million revolving line of credit with MetLife extends into November 2029. We believe that these credit facilities will provide sufficient liquidity while the company manages through the impacts of Hurricane Ian. We continue to move forward as well with our environmental, social and governance initiatives and most recently published our second sustainability report in December 2022, which is available on our website. With that, I turn the call over to our CFO, Perry Del Vecchio to discuss our more detailed financial results.
Perry Del Vecchio: Thank you John and good morning everyone. As our business is seasonal and the majority of our citrus crop is harvested in the second and third quarters of the fiscal year, with the majority of our profit and cash flows also recognized in the second and third quarters, the quarterly results for the first quarter are not indicative of our full year results.  Total operating revenue for the quarter ended December 31, 2022 was $10.6 million compared to $15.3 million for the quarter ended December 31, 2021. Our citrus revenue was $10.3 million and $14.7 million for the quarters ended December 31, 2022 and 2021 respectively. The decrease in revenue for the three months ended December 31, 2022 compared to the three months ended December 31, 2021 was primarily due to a decrease in grove management services and a decrease in revenue generated from the early and midseason harvest, with such decrease in harvest revenues being in large part because of the increased fruit drop caused by the impact of Hurricane Ian. The decrease in grove management services is primarily due to a primary group of third party grove owners who are affiliated with each other, to whom the company was providing caretaking and management services, deciding to exit the citrus business at the beginning of the three months ended June 30, 2022. This decision to exit the citrus business eliminated the need for caretaking and management services. As a result, caretaking and management services and the accompanying reimbursement of caretaking expenses decreased during the three months ended December 31, 2022 when compared to the same period in the prior year. The decrease in the early and midseason fruit harvested for the three months ended December 31, 2022 was primarily driven by a decrease in pound solids per box and a decrease in box production. The company decided to accelerate the harvesting of the early and midseason crop to maximize the box production and avoid additional fruit drop as a result of the impact of Hurricane Ian on the early and midseason harvest. The pound solids per box decreased 4.5% and the processed box production decreased 2.7% as compared to the same period in the prior year. As John noted earlier, the company will complete the harvesting earlier in the current fiscal year as compared to the prior fiscal year for its early and midseason fruit and anticipates an overall decrease in the number of boxes harvested and revenues generated from the early and midseason fruit for the 2023 harvest as compared to the 2022 harvest. Although Hurricane Ian impacted the early and midseason harvest, there does not appear to be long term damage to the citrus trees. Total operating expenses were $14.3 million and $13.4 million for the three months ended December 31, 2022 and 2021 respectively. The increase in operating expenses for the three months ended December 31, 2022 as compared to the three months ended December 31, 2021 primarily relates to the increased cost of sales per box realized in the three months ended December 31, 2022 as compared to the same period in the prior year. The company experienced significant cost increases in fertilizer, herbicide and fuel in maintaining its groves. These cost increases coupled with the timing of the harvest and the expected lower box production for its early and midseason harvest resulted in a higher cost of sales per box for the three months ended December 31, 2022 as compared to the same period in the prior year. In addition, the company incurred additional costs related to the clean-up and repairs as a result of Hurricane Ian. General and administrative expenses for the three months ended December 31, 2022 totaled approximately $2.5 million compared to approximately $2.6 million for the three months ended December 31, 2021. The decrease was primarily due to a one-time incentive offered to employees during the three months ended December 31, 2021. In addition, the company realized a reduction in stock compensation expense based upon a reduction in the restricted stock awarded to certain executives, senior managers and employees, and a reduction in other administrative costs. Partially offsetting these decreases was an increase in professional fees.  Other income net for the three months ended December 31, 2022 and 2021 was approximately $2 million and approximately $7.6 million respectively. The decrease to other income net was primarily due to the timing on the gains of sales of real estate, property and equipment, and assets held for sale. During the quarter ended December 31, 2022, the company sold approximately 609 acres in the aggregate from the Alico ranch to several third parties and recognized gains of approximately $3,189,000. By comparison, for the three months ended December 31, 2021, the company recognized gains of approximately $8,445,000 relating to the sale of real estate, property and equipment, and assets held for sale. In addition, the company recognized an increase in interest expense of approximately $247,000 for the three months ended December 31, 2022 as compared to the three months ended December 31, 2021 as a result of an increase in the overall interest rates on its variable term debt and the working capital line of credit and incremental borrowings on under the working capital line of credit.  During the first quarter ended December 31, 2022, we received the last installment of the Florida citrus block grant program from the 2017 storm, Hurricane Irma, of approximately $1.3 million as compared to approximately $1 million for the first quarter ended December 31, 2021. The company received a total of approximately $26.9 million commencing in fiscal year 2019 through December 31, 2022 under the Florida Citrus Recovery block grant program.  For the fiscal quarter ended December 31, 2022 and December 31, 2021, we reported net loss attributable to Alico common stockholders of approximately $3.2 million and income attributable to Alico common stockholders of approximately $10.1 million respectively. Our adjusted EBITDA was approximately a net loss of $3.4 million for the first quarter ended December 31, 2022 as compared to a positive $2.3 million for the same period in the prior fiscal year.  We continue to maintain a strong balance sheet. Our working capital of approximately $27.3 million at December 31, 2022 represents a 3.6721 and a 1.9121 ratio at December 31, 2022 and December 31, 2021 respectively, and our debt to equity ratio of 0.51 to 1 and 0.50 to 1 at December 31, 2022 and December 31, 2021 respectively. I will now pass the call back to John.
John Kiernan: Thanks Perry. While the Florida citrus industry has faced challenges with respect to box production over the last couple harvest seasons, we remain confident that the approximately 1.9 million new trees planted since 2017 within our groves will yield increased production as we recover from the impact of Hurricane Ian. We believe that we have the most productive citrus groves in Florida.  We are continuing to work with land use planning professionals to frame a strategy that optimizes the long term potential values for our real assets. Alico wants to provide investors with the benefits and stability of conventional agricultural investment with the enhanced optionality that comes with active land management. With that, we will now open the line up to questions from industry analysts. Rob?
Operator: Thank you. [Operator instructions] Thank you, and our first question is from the line of Gerry Sweeney with Roth Capital. Please proceed with your questions.
Gerry Sweeney: Thanks for taking my call. 
John Kiernan: Morning Gerry.
Gerry Sweeney: Just a question - obviously you’re going to be hunkered down here for the next couple quarters, but wanted to see if maybe you could provide a little bit of maybe detailed or calendar in terms of, A, when--I know crop insurance is after harvest, but is that sort of July-August time frame or a little bit later? Then two, visibility on the quality of the trees, the fruit production as we move out of next year into the next season, ’23-’24, making sure there’s no damage to trees, etc.
John Kiernan: Sure, I’ll take the second part and Perry will address the timing of actually the receipt of the crop insurance.
Gerry Sweeney: If that happens, right?
John Kiernan: If crop insurance does happen, and as you correctly point out, we’ll be measuring the amount of damages from Hurricane Ian against prior periods, so we have to wait for this current season to end so we can have a measurement period. Relative to the trees and the damage, we don’t think that there’s long term damage to our trees, just based on looking at them every day. We are obviously harvesting our Valencia’s coming up right now, and once that season’s over, we’ll be spending a lot of time basically looking at the productive trees themselves, determining where we re-plant from a maintenance perspective so that we can optimize the full production coming off of the acres that we do own, and by early midsummer, we should have a very good view on where we think over the next season or two of Alico’s production will be coming out.  Obviously we take from past practice, we take an internal estimate and kind of the late August-early September time frame that helps us do our budgeting, but we’re watching it very, very carefully in the interim. The big news is we really don’t see any permanent long term damage to the trees themselves, and as we pointed out, with 1.9 million trees planted since 2017, that’s very good news for us because we believe that represents the source of the future production for us. Perry, do you want to talk a little bit about the timing of crop insurance?
Perry Del Vecchio: Yes, thanks John, and thanks for the question, Gerry. As it relates to the crop insurance, as John mentioned, we have to wait for each of the harvests to be completed. We just completed the early and midseason harvest, and we are working with the adjusters now. Historically, we’ve always received--for the freeze event and then for Irma, we received the crop insurance within the same year as the event. It’s not guaranteed - the insurance company has their own process that they need to work through, but based upon the last two events with the insurance companies, we’ve received them within the same crop year.
Gerry Sweeney: Got it. Switching gears, ranch land sales, 19,000 acres, it sounds like you sold some acres not only last quarter but beginning of this quarter. If my memory serves correct, the value of those sales have been increasing over time. I think some of it is all the land that has been encumbered for different reasons has been transacted out. Just curious as to, one, demand; two, as best as you can talk to, the value or the indications you’re seeing for the available land.
John Kiernan: Sure. I’ll take that.  Buyer interest remains high. We’re seeing primarily cash buyers that don’t seem like they’re financing-dependent, which is good news. I think they’re being as selective as they have been in past years. It is a competitive negotiation process for each transaction that we have, and we are seeing smaller parcels being negotiated as opposed to 3,000, 4,000, 5,000 acre deals. We’re seeing things in the 100s and the low 1,000 acre parcels right now, but the actual price per acre is continuing to hold in the high 4s, low 5s per acre, which is what we’d consider very encouraging for hopefully future realized value for us. 
Gerry Sweeney: Got it, great. That’s it for me. I appreciate it. Thanks for the update. 
John Kiernan: Thanks Gerry.
Operator: Thank you. At this time, I would like to turn the call back over to Mr. Kiernan for closing remarks. 
John Kiernan: I just want to say thank you to everyone for joining our call today as well as for your continued support of Alico. We look forward to speaking with you all about our second quarter results coming up in May. Hope everyone has a great day.
Operator: Thank you. This concludes today’s conference. You may disconnect your lines at this time. Thank you for your participation and have a great day.